Operator: Greetings. And welcome to Lumen Technologies’ Fourth Quarter.2021 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today, Wednesday, February 9, 2022. It is now my pleasure to turn the conference over to Mike McCormack, Senior Vice President, Investor Relations. Please go ahead.
Mike McCormack: Thank you, France. Good afternoon, everyone. And thank you for joining us for the Lumen Technologies fourth quarter 2021 earnings call. Joining on the call today are Jeff Storey, President and Chief Executive Officer; and Neel Dev, Executive Vice President and Chief Financial Officer. Before we begin, I need to call your attention to our Safe Harbor statement on slide two of our fourth quarter 2021 presentation, which notes that this conference call may include forward-looking statements subject to certain risks and uncertainties. All forward-looking statements should be considered in conjunction with the cautionary statements on slide two and the risk factors in our SEC filings. We will be referring to certain non-GAAP financial measures, reconciled to the most comparable GAAP measures that can be found in our earnings press release. In addition, certain metrics discussed today exclude costs for special items as detailed in our earnings materials, all of which can be found on the Investor Relations section of the Lumen website. And with that, I will turn the call over to Jeff.
Jeff Storey: Good afternoon, everyone, and thank you for joining us. 2022 brings new beginnings for Lumen. The team is energized for rapid change as we streamline our assets and aggressively invest to drive growth. I want to be clear, our focus is on turning our topline positive with profitable revenue. Every employee in our organization, our sales team, field techs, customer care, support functions is focused on this objective. On today’s call, I will provide a few thoughts on our fourth quarter results, an update on our announced transactions, a review of our key capital allocation priorities and a review of our investment plans, which we believe will position the company for long-term sustainable revenue growth. Neel will discuss the fourth quarter in more detail, provide our outlook for 2022 and update expectations for the timing and financial impact of our two announced transactions. We will reserve time after Neel’s remarks for your questions. Our fourth quarter revenue trend was stable compared to the third quarter, and on an organic basis, our business revenue was unchanged from the third quarter. We said previously, we do not expect a straight-line revenue growth, that our forward indicators provide us confidence that we can achieve our stated long-term goals. Quarterly sales were once again strong and the funnel remains above pre pandemic levels. The Lumen platform is transforming the way businesses approach their technology needs, bringing best-in-class solutions to enable Fourth Industrial Revolution use cases and enabling the digital transformation for Enterprises. Enterprises are adjusting to new hybrid workloads and Lumen, as well as our world-class partners are delivering the expertise necessary for our customers to succeed. As you can imagine, the excitement within Lumen is high as we position our Quantum Fiber platform for a major acceleration. Our robust symmetric, all-digital experience is resonating with customers. Quantum will help drive revenue growth and lower the operating costs for our Mass Markets segment, improving the profitability and durability of the business. At the same time, incumbency provides us a meaningful cost advantage, as we build and launch new Quantum markets and drive penetration gains. Our expectation for long-term penetration is fully supported by the strength of the product, as well as the performance in our existing Quantum markets. Even in our nascent Quantum footprint, we have achieved 29% penetration with limited marketing activities, more than doubling the penetration we have in our legacy copper areas. As we pivot from micro targeting to a market based approach, we expect to be able to attract and retain new and existing customers to our superior product capabilities much more aggressively. The opportunity for Quantum is significant. I hope you can feel our excitement for the future of Lumen, as we invest to drive Enterprise and Quantum Fiber growth. Let’s shift to a few quick thoughts about our previously announced transactions. These transactions allow us to focus on the areas of our business that we believe are best poised for growth. As you think about the pro forma revenue mix, over one-third of our Mass Markets exposure to legacy voice and other revenue will be divested. Not only does our revenue mix improve, but these transactions also delivered strong valuations, supporting the view that our overall asset portfolio remains deeply discounted by the market. While we disagree with our current valuation, there’s only one way to realize our true market value, execution. We get it and we are focused on delivering. We are making good progress toward closing both deals and Neel will provide an update on our expected timing and financial impacts. We are working to be a strong partner to both Stonepeak and Apollo, as they onboard our employees and customers and as we help position them for success. Last quarter, we provided you our top five capital allocation priorities, as we deploy our significant free cash flow and utilize the proceeds from these valuable transactions. I hope I have been clear that investing in growth is always our highest priority and we will invest in both CapEx and OpEx to lay the foundation to achieve our goals. I feel we are in a great position entering 2022. Let me start with Quantum Fiber. There’s a tremendous amount of activity here at Lumen as we rev up the Quantum engine. We are readying the platform to deliver on our plan and remain very confident in our opportunity to deliver the terrific experience provided by Quantum to more than 12 million locations over the coming years. Quantum Fiber revenue grew 22% year-over-year and we look forward to the growth that will come from our much more aggressive Quantum stance. We see a long-term significant and sustainable revenue growth opportunity for our Mass Markets business resulting from our Quantum Fiber investment. As of the end of the fourth quarter, we had approximately 2.6 million enabled locations within the retained 16 states, in line with our expectation outlined last quarter. Our excitement builds as we enter 2022, with our plan to accelerate aggressively and ramp that enablement pace to over 1 million new locations, with a goal of hitting the run rate of 1.5 million to 2 million enablements per year as we exit 2022. Our fully-funded 2022 Quantum Fiber plan will enable millions of customer locations to experience our best-in-breed Quantum experience and product capability that we believe will drive higher ARPU, lower churn and significant customer lifetime value. We will invest heavily to bring the Quantum experience to our customers, especially in the areas of product development, marketing, brand and go-to-market sales initiatives. Both Enterprise and Mass Markets supply chains are stressed, and we continue working very closely with our diverse and valued suppliers to mitigate risk as we execute on our growth objectives. In addition, we are managing through this inflationary environment, and with some exceptions, do not expect pricing pressures to impede our goals. Our excitement for Quantum Fiber is easy to understand, but we are equally excited about our Enterprise business, as we continue to invest aggressively in our edge compute and storage platforms, our managed service offerings, SASE and our security products. Our customer’s digital experience across our core networking services is unique and drives success with a customer first posture. Along those lines, we have successfully launched our fully digital self-service edge compute ordering system, which allows existing and new customers to self-provision services, including bare-metal and storage solutions in minutes without the need for human interaction. We believe our extensive long-haul and dense metro infrastructure and our ultra-low latency, ultrahigh capacity network provide cost advantages over many of our competitors and deliver a powerful customer experience. We are seeing early signs that our customers understand that value proposition, and our recently announced $1.2 billion network services contract win for the U.S. Department of Agriculture is a great example. As part of this solution, we are delivering secure remote access, managed data, contact center and cloud connectivity solutions to more than 10,000 USDA locations across the country and abroad. Awarded under the $50 billion Enterprise Infrastructure Solutions or EIS program, the 11-year task order is illustrative of the broad range of products and services offered on the Lumen platform. This is a long list but our services to the USDA includes SD-WAN, MTIPS, Zero Trust networking, edge computing, VPN, managed security, UCaaS, voice over IP, Ethernet and wavelengths, and related equipment and engineering services.\ I mentioned earlier that we had another strong sales quarter in 4Q. While the USDA deal highlights our expertise in the public sector, our other sales within North America Enterprise, which do not include public sector, were up both sequentially and year-over-year. In fact, December was the highest sales month we have seen in several years for this area. Beyond driving growth, we believe returning cash to shareholders is a very important part of the Lumen strategy and that the $1 per share level is attractive and sustainable long-term. As we said, our payout ratio will likely rise in the near-term during the accelerated Quantum build phase, which we think should be viewed as a discrete project. The completion of the multiyear build phase, coupled with our expectation for topline growth, should return us to more normalized payout ratios over time. We will continue to manage our balance sheet to remain relatively leverage neutral through our Quantum Fiber deployment plan, but we do expect the time line to reach our target net leverage ratio of 2.75 times to 3.25 times adjusted EBITDA will be extended. To be clear, relatively leverage neutral is inclusive of the impact of not only the transactions but also the CAF II to RDOF transition. We will also continue to evaluate our asset portfolio and I hope our opportunistic, but open approach to asset optimization is fully appreciated. Let me be clear, no urgency for us to divest additional assets and we will only pursue opportunities that offer both a compelling valuation and a clear strategic benefit. Lastly, I want to emphasize that we continue to believe our shares are deeply discounted and do not reflect the tremendous opportunity we see for Lumen going forward. Our Board remains prepared to authorize further buybacks on short notice, if we believe a buyback provides the best and most prudent return for our shareholders. With that, I will turn the call over to Neel to discuss our fourth quarter results. Neel?
Neel Dev: Thank you, Jeff, and good afternoon, everyone. We entered 2022 with a clear focus on closing two significant transactions and executing on our plans to drive future growth. I will begin with our financial summary for 2021. We generated adjusted EBITDA of $8.440 billion in 2021 and on a full year basis expanded margins by over 100 basis points year-over-year. We continue to make progress on our objective of improving revenue trajectory, with fourth quarter down 0.8% sequentially. When adjusted for foreign currency and the sale of our last remaining correctional facilities business, during the quarter, our sequential revenue declined 0.5% in the fourth quarter. We again delivered solid free cash flow of $3.742 billion. We returned $2.1 billion to our shareholders during the year through quarterly dividend payments and our stock repurchase program. Additionally, we reduced net debt by $1.5 billion during 2021 and exited the year with leverage at 3.6 times. We also announced two significant transactions at very attractive multiples with an aggregate value of over $10 billion. Turning to revenue, in the fourth quarter, total revenue declined 5.4% on a year-over-year basis to $4.847 billion. Year-over-year metrics continued to be impacted by COVID-related demand in 2020. On a sequential basis, total revenue declined 0.8%, in line with the sequential rate of decline in the third quarter. Business revenue in the fourth quarter declined 0.4% sequentially. On a year-over-year basis, revenue declined 4.7% to $3.494 billion. Normalizing for foreign currency headwinds and the sale of our correctional facilities business, sequential revenue was flat and declined 4.3% on a year-over-year basis. Within business, iGAM revenue declined 0.2% sequentially and 1.5% on a year-over-year basis. On a constant currency basis, iGAM grew 0.6% sequentially and declined 1% year-over-year. The year-over-year decline was due primarily to the large customer disconnect which I have referenced on previous calls. We saw sequential benefits from compute and application services, which was driven by managed security and cloud services. Within large Enterprise, in the fourth quarter, we sold the remainder of our correctional facilities communication services business. The sale of this business at the end of October impacted revenue by about $7 million in the fourth quarter and the impact on a full quarter basis would have been about $10 million. Normalizing for the sale, large Enterprise declined 0.3% sequentially and declined 5.9% on a year-over-year basis. We had strength sequentially in compute and application services, driven by our IT solutions and cloud services. Year-over-year trends were impacted by the surge in COVID-related usage in 2020 and the timing of non-recurring revenues in our public sector channel. Mid-market Enterprise declined 0.2% sequentially and 7.1% on a year-over-year basis, with both measures showing improvement compared to the third quarter. Wholesale revenue was essentially flat on a sequential basis and year-over-year declined 4.3% versus the 7% decline in the third quarter. Wholesale benefited from demand for fiber infrastructure and a few onetime items. We continue to manage this business for cash. Computer and application services for Enterprise channels grew 3.9% sequentially, showing growth across all channels, but declined 2.2% year-over-year. The year-over-year decline is primarily driven by the previously mentioned large iGAM customer disconnect. IP and data services for Enterprise channels declined both sequentially and year-over-year due to fewer new VPN network deployments. We saw continued increased demand for IP in the fourth quarter as customers transition to SD-WAN and hybrid work environments. Fiber infrastructure services for Enterprise channels declined 2.6% sequentially and 2.4% year-over-year. These products have significant professional services and equipment related to complex network deployments. The sequential and year-over-year revenue variability is driven primarily by these non-recurring services. The voice and other services, which include our legacy services, declined both sequentially and on a year-over-year basis, as we manage these areas for cash. Voice comparisons continued to be impacted by higher COVID-related usage in the year ago quarter. Turning to Mass Markets, fourth quarter 2021 revenue declined 1.9% sequentially. Our Mass Markets fiber broadband revenue grew 22% year-over-year this quarter. During the quarter, we added 29,000 Quantum Fiber customers, up from 25,000 adds in the prior year fourth quarter. Turning to adjusted EBITDA, for the fourth quarter of 2021, adjusted EBITDA, excluding special items was $2.088 billion, compared to $2.188 billion in the year-ago quarter. Special items this quarter totaled $19 million and were related primarily to transaction and separation activities. We continued to drive healthy EBITDA margins during the quarter, growing by about 40 basis points year-over-year to 43.1%. Capital expenditures for the fourth quarter of 2021 were $848 million. While we continue to focus on capital efficiencies, capital spending was up both sequentially and year-over-year as we increased success based spending and invested in the accelerated Quantum Fiber build plan. We expect capital expenditures to increase going forward as our Quantum Fiber build ramps. In the fourth quarter of 2021, the company generated free cash flow of $776 million. At the beginning of each year, we evaluate our external reporting and make adjustments to better align our financial reporting with management focus and drive lot of our business. In 2022, we are adjusting our Mass Markets product revenue reporting categories to Fiber Broadband, Other Broadband and Voice and Other. The two key reasons for these changes are the increasing importance of our Quantum Fiber platform and the completion of the CAF II program. Given its relatively small impact, the RDOF subsidy revenue will be included in the Voice and Other category in our new reporting structure. We do not contemplate making any additional changes to our reporting at this time. Moving on to the business outlook for 2022, as we focus on portfolio rationalization and transforming the business, we will have several moving pieces that will complicate year-over-year comparability. Before I get into financial guidance, I will touch on some of those factors. First of all, as a reminder, the CAF II subsidy ended in 2021, which will impact year-over-year adjusted EBITDA by about $500 million. When combined, the two divested assets are expected to generate about $1.7 billion of EBITDA with capital spending of about $450 million in 2022. We now expect the transactions to close in early third quarter of this year. For simplicity of guidance, we have assumed first half results are included in our consolidated results. At this point, we don’t expect deal close related timing variance to be material. For the full year 2022, we expect adjusted EBITDA to be in the range of $6.5 billion to $6.7 billion. When bridging to our 2022 full year adjusted EBITDA guidance, in addition to the obvious CAF II completion and divested business EBITDA, there are a few other drivers to keep in mind. As Jeff mentioned, we have significantly stepped up our investments and growth initiatives for Enterprise and scaling our Quantum Fiber business. As for the divestitures, we will have separation costs and dissynergies, which will impact near-term results. As we prioritize growth initiatives and supporting our divestitures in 2022, we expect our transformation savings to be lower than prior years. For the full year 2022, we expect total capital expenditures in the range of $3.2 billion to $3.4 billion. Within that, we expect to spend about $1 billion of capital on Quantum during 2022. We expect to generate free cash flow in the range of $1.6 billion to $1.8 billion for the full year 2022. For 2022, we do not have any required contributions to the pension fund, and our free cash flow guidance does not include any discretionary contributions. As a reminder, our first quarter typically has higher working capital use, driven by timing of bonus payments and other prepaid expenses. We expect net cash interest expense in the range of $1.3 billion to $1.4 billion for 2022. As Jeff mentioned, we expect to stay leverage neutral, as we close the transactions and scale our Quantum Fiber business. In terms of special items for 2022, we expect a significant ramp up in costs compared to prior years, primarily driven by dedicated third-party costs to support transition services for the divestitures. The reimbursement for these services will be in other income, with no material net impact to our cash flows. In closing, 2022 is all about executing on our growth initiatives for the Enterprise Lumen platform and scaling our Quantum Fiber business that fuel our return to growth. As a reminder, in addition to free cash flow generated from the business, we expect about $7 billion in discretionary cash proceeds from the transactions after the transfer of debt and transaction costs. The combination of free cash flow from the business and proceeds from portfolio rationalization efforts support our capital allocation priorities that Jeff highlighted.  With that, we are ready for your questions.
Operator: Thank you. [Operator Instructions] Our first question is from the line of Michael Rollins with Citi. Please go ahead. 
Michael Rollins: Thanks and good afternoon. As you are thinking about the opportunities in 2022 to improve revenue with some of the priorities you mentioned earlier in the call, just curious, as you look at the charts like on Page 6 and 7 that kind of lay out the year-over-year changes in revenue versus the sequential changes in revenue, where should investors focus more in trying to think about the evolution of performance? Is the sequential much more relevant? Or is the year-over-year, as sometimes beginning of the year, you have price changes and other annual updates to your customers and your sales? And then just separately, one housekeeping item. I think there was a mention earlier that in wholesale, there were some one-time items. Just curious if you can unpack the amount of those one-time items impacting the wholesale revenues. Thanks.
Neel Dev: Sure. So I will start with the wholesale onetime. In the wholesale channel, you always have carrier settlements and things like that. So there’s always one-time, but just stepping back, roughly $10 million, $15 million more than what we typically see. So that’s wholesale. In terms of your question on sequential versus year-over-year, in 2020, obviously, we had a fair amount of revenue driven by COVID in our legacy services. So going forward, I think sequential and -- both sequential and year-over-year are going to become more meaningful. Having said that, as you highlighted, the first quarter, we always tend to have some large rebates, et cetera. Nothing specific to highlight, but that’s generally when we have some contract rerate pressure, et cetera, and the fourth quarter tends to be seasonally strong. So we will have a little bit of that seasonality. But other than that, nothing specific to call out. The other thing I will highlight is Jeff touched on that in his remarks is as we close the transactions, the mix will significantly improve, so there’s a fair amount of voice and other legacy revenues that move with the transaction. So that will be a positive impact in terms of the mix going forward.
Michael Rollins: Thanks.
Neel Dev: Thanks, Michael. All right. Next question.
Operator: Our next question is from Eric Luebchow with Wells Fargo. Please go ahead. 
Eric Luebchow: Hi. Thanks for taking the question. Quickly, I just wanted to talk about the capital allocation priorities. Obviously, your dividend coverage on free cash flow is tightening this year as you ramp up fiber spending. And beyond this year, as you ramp that up even more, wondering if that will even be fully covered. And if it’s not, how should we think about the split between onetime fiber expansion CapEx versus recurring capital intensity in the business and how we should think about that through the investment cycle? And then second, I just wanted to get a sense, Neel, if you could help size up some of the cost dissynergies. I think if you take out the $500 million of CAF II and the divested assets, the half year contribution, you get to about $7 billion of EBITDA and your guide is for about $400 million decline from that level for the full year. So I am just wondering how we should think about -- how those impact the outlook for the full year? Thank you.
Jeff Storey: Sure. Eric, I will take the first part and then let Neel take the second question. As we look at the dividend and the payout ratio, and I have said this before, we think that the dividend is an important part of our shareholder value proposition. We think the $1 per share is attractive to investors and it’s sustainable, so we are very comfortable with the dividend there. I have also said that in 2022 and the next few years, we are going to be investing in growth, and you mentioned Quantum Fiber, and with the Quantum Fiber build, we think that, that should be viewed as a discrete project that starts already and ends in a few years as we complete the 12 million enablements that we expect over the coming years. We also expect to return to topline revenue growth. And with those two things, while we do see the payout ratio rising in the near-term, with those two things, we think that it will return to more normal levels over time.
Neel Dev: So Eric, on your question on dissynergies, I think just to step back a little bit and if you think about the transaction EBITDA, those are deal basis EBITDA, if you will. So we have allocated costs for shared function, et cetera. And so it’s a little bit of a moving target in terms of we know what they are going to be but we are already working o n rightsizing those costs and we will continue to do so as we go forward. And the other thing I mentioned is that there is also a little bit of an opportunity cost in 2022, as we focus on the separation of the business and as we focus on all the investments for growth, just think about our IT resources. We are not focused as much on transformation. And so our savings will be a little lighter. And so we factored all of that into the guidance. But the savings don’t go away, and so we will continue to focus on our transformation savings and we will be able to continue to focus on driving those costs out of the business.
Eric Luebchow: Thanks, guys.
Jeff Storey: Thanks, Eric. France, next question?
Operator: Our next question is from Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery: Great. Thank you. Good evening. So good to hear on the Quantum Fiber revenue growth and the build plans. I guess on the build plans, should we think about the -- you are doing -- I mean, you did 400,000 this year. Should we think about the 1 million this year as being fairly linear or will that -- is it still very much second half loaded, I guess, to get to that $1.5 million to $2 million? And I guess the question is why not go faster? We have obviously seen the infrastructure bill award a lot of funding. We have seen fixed wireless gain some traction here. So if you see the opportunity here, you have got obviously a lot of homes with potential. So what’s keeping you from accelerating that pace? And then, Neel, just one on taxes, I saw you highlighting, I think, $100 million of cash taxes. But what should we be thinking about run-rate cash taxes once the transactions are complete in terms of the ongoing -- as a sort of a full taxpayer? Does that go up a few hundred million as we get out of 2022 and to 2023? Thanks.
Jeff Storey: So Simon, on the build plan for Quantum Fiber, it’s not going to be linear. It takes a while to ramp these capabilities, to ramp -- to do the engineering, to make sure that we have got the construction resources in place. So it’s not going to be linear but it’s not going to be fully back-end loaded either. We are already at a pace of, call it, 500,000 homes, 400,000, 500,000 homes and business locations. So there’s going to be that as a starting point, but we will get to the full 1 million toward the end of the year, obviously. So it’s a little back-end loaded but not substantially. What keeps us from going faster? This is hard work, it’s hard work. There’s a lot of things to do. We want to make sure that we do it right. We are exceptionally good at building networks and we will continue to do that with the Quantum Fiber build, but there’s hard work. And we also have supply chain challenges. And I mentioned that in the prepared remarks. I don’t want to overemphasize it but it’s an issue, and we see it with equipment vendors and chips and them getting access to chips. So we will continue to manage that, but that’s also a constraining factor on how to accelerate faster. Now the main point is we want to accelerate to a point of 1.5 million to 2 million homes by the end of the year. So we want to be on that run-rate finishing the year and going into 2023. And that’s really a large effort to make sure that we do go as fast as we possibly can. Neel, do you want to take the cash taxes?
Neel Dev: Yes. Simon, on cash taxes, as we have mentioned before, we will use up most of the substantial part of the NOLs this year, a combination of our operating income and the transactions. And you can see that $100 million that we guided to this year is fairly close to what it has been in the past. But going forward, a good assumption is our cash taxes will be fairly close to our GAAP taxes. And at this point, the 26% effective rate is probably a pretty good assumption.
Simon Flannery: Great. Thanks a lot.
Jeff Storey: Thanks a lot. Our next question, please.
Operator: Our next question is from Phil Cusick with JPMorgan. Please go ahead. 
Phil Cusick: Hi, guys. Forgive me if we just sort of go back to this, but I wanted to talk about the sort of CapEx pace and that acceleration into the back half. You have talked in the past about other projects like network transformation that wouldn’t need to be done this year as an offset. And so I wanted to sort of quantify what that reduction might be as we think about the growth in fiber spending this year and the pace that we are going to exit as we start to think about 2023 CapEx. Can you help us with that? Thanks.
Jeff Storey: Yes. Let me take a first pass and then let Neel add to it. I don’t want to get into discrete projects that we are funding and not funding, but let me give you a sense of the CapEx and what we fund. There is a certain amount of capital that we call just ongoing operational capital, keep-the-lights on type stuff. But the majority of our capital funding is success-based or project-based. And the project-based things that we have talked about in 2021, we spent a lot of money on edge computing, building a coverage model for edge computing. We finished the year with 90 -- more than 95% of our US enterprises within five milliseconds of our footprint. We are not going to spend that money again next year. Now what I hope we do, or this year in 2022, what I hope we do is continue to densify the equipment in those locations because that means we are being successful in selling our products and services. So we spend a substantial amount of money on that success-based. Quantum Fiber, we spent money to enable 400,000 homes in 2021. We will spend money to enable 1 million homes and get to the run rate that I talked about in answering Simon’s question. We will continue to spend on that project and really focus there. Beyond that, we manage projects in and out. We are not starving anything to do those activities. We are investing heavily in growth. And I say that on CapEx. I also say it on OpEx. We are investing heavily in growth on OpEx to make sure that we have the product capabilities, to make sure that we have the go-to-market strategy, the brand awareness, all of the things that go into effective selling. We are seeing with the results in the fourth quarter, we are seeing all of that continuing to benefit the company. Neel?
Neel Dev: Yes. Just to underline the...
Phil Cusick: Yes. If I could follow up -- sorry, go ahead.
Neel Dev: No. Phil, just to underline the point that Jeff made on we are not constraining anything. I mentioned in my prepared remarks that we have about $1 billion for Quantum Fiber in the capital guidance that we provided. And to the extent that we can scale faster, if you look at the combination of our free cash flow and deal proceeds, we can easily ramp up more spending for Quantum Fiber. That won’t be the constraint. The constraint really is going to be mundane things like permitting, construction, getting it built, and those are the things that we are focused on scaling. And if we can scale those things and that means we end up spending more, I think we will lean into it.
Jeff Storey: And just one other follow-up comment, Phil, then you can ask your follow-up questions In the meantime, we are focused on our existing 2.6 million enablements that we have and driving penetration in those. We are at about 29% penetration, but that includes homes that we just turned up last month. We want to make sure that we continue to focus on driving the penetration in those existing -- in the existing footprint.
Phil Cusick: Thanks. If I can just follow up quickly, and again, I am trying to think of the exit run rate this year. You have talked about the exit run rate in builds, but also I am thinking about CapEx. I mean, it seems like there could be another $700 million to $1 billion of CapEx next year in fiber in Quantum. Is -- are there other projects that are still happening this year that we could think about, sort of, dropping away? Or should we think about next year being sort of the peak of CapEx on Quantum?
Neel Dev: So Phil, I think the key point there is our plan, like Jeff said, on capital is dynamic, so it’s not the same priorities that we support every year. So for example, on edge, a lot of the investments we made, the step function investments, I would say, were more in 2020. And this year, it’s more success-based at a lower -- much lower intensity. So without getting into specifics around 2023, I think you are right, Quantum will ramp up. We do view that as a discrete project, but the rest of the plan will be dynamic and will be success-based.
Phil Cusick: Good. Thanks, Neel 
Neel Dev: Thanks, Phil. Next question. 
Operator: Our next question is from David Barden with Bank of America. Please go ahead. 
David Barden: Hi, guys. Thanks so much for taking the question. I guess the first one would be, Neel, if you could kind of give us any color about the revenue that we need to be taking out of the model when we are thinking about the second half of the year alongside some of the stuff you shared on the EBITDA, the cash flow side. And then the second question, I guess, Jeff, is if we take that $1.7 billion minus the $450 million CapEx and divide it in half at $625 million and then subtract that from the free cash flow guidance, it says that the kind of second half of the year, the dividend is barely covered, maybe a little covered. You talked about buybacks being in the mix with the Board. I was wondering if you could kind of elaborate on that a little bit about where that money would come from. Would you lever up to buy back stock if it got to that point? That would be helpful. Thank you.
Jeff Storey: Let me do the second question first. I am not going to -- sorry, this is going to be an unfulfilling answer, David. I am not going to speculate on what the Board might decide and how we might decide to do it. I am very clear. I hope I am very clear on the priorities for our capital allocation and the first one being investing in growth. So as we look at the CapEx, we are very committed to investing in Quantum Fiber. We are very committed to investing in SASE and IT solutions and edge computing and those types of things, where we think significant growth can come from over the next few years. Secondly, we have talked about the dividend and we want to maintain the dividend. I will point out that our last buyback reduced our dividend obligation by about $81 million a year. So that’s not an exclusive issue to just the dividend. That also is factored in by the buybacks. And we want to maintain relatively leverage-neutral, meaning roughly where we are, maybe not exactly where we are but roughly where we are. And then if we think it’s appropriate, we will come up with a plan to make additional buybacks. But I am not going to speculate on what that plan would be or how the Board would view it. I just want you to know that we are open to that.
Neel Dev: And on your first question, David, you know we don’t provide revenue guidance so I am not going to get into providing guidance for revenue guidance for divested assets. But like I said, on EBITDA, our expectation is $1.7 billion, and our guidance assumes that we have half year’s worth of EBITDA in our consolidated results.
Jeff Storey: And one other point. We are getting $10.2 billion for the two transactions that we are doing and so there are other sources of funds.
David Barden: Got it. And if I could just, maybe just one quick follow-up. Based on kind of some of the revenue mix benefits that you have talked about getting out of this thing, would it be fair to say that the margin on this portfolio, the Apollo portfolio, in particular, is going to be a higher margin portfolio than the kind of the business that you will have, which you are investing to grow?
Neel Dev: Yes, you are right. It’s a higher EBITDA margin business. Generally, our legacy revenues are higher margins. So yes, post the transactions, you will see a dip in our EBITDA margin, which also means we will have more opportunity to expand margins going forward. 
Jeff Storey: And we also expect Quantum Fiber to be successful. If you look at the markets that we retain, we have a couple of things going for us. Most of those big markets are growing markets. More people are moving to them. They are higher tech markets. We see a lot of opportunity in those states and we have incumbency. And incumbency helps us sell. It helps us build. It helps us build at a lower cost, helps us operate, and we are moving to the all-digital experience that those customers have. And so we expect good things from our Quantum business.
David Barden: All right. Thanks, guys. Appreciate it.
Jeff Storey: Thanks, David. France,, next question.
Operator: Our next question is from Batya Levi with UBS. Please go ahead.
Batya Levi: Great. Thank you. Can you provide more color and maybe quantify the planned investment for growth specific for this year that could come off next year and how we should think about the pacing through the year? And the second question on subsidies. With cash gone, can you just remind us how much subsidy dollars are left in the model? And I think you applied for $200 million in subsidies to replace some foreign equipment in the network. To the extent that you get that approved, how would you account for it and does the guidance include it? Thank you. 
Jeff Storey: There’s a lot packed in there, Batya. So what Quantum Fiber investments are we going to make in 2022 that could come off in 2023? We are not giving guidance for 2023. But we do plan to ramp our Quantum Fiber investments. We have said that. We said that our plan for the year in 2022 is 1 million homes, and then we plan to do 1.5 million to 2 million at a run rate basis by the end of the year. So we are not giving forward-looking guidance, but we have given you an indication of what we expect and how we expect to build. Neel, I will let you take the question on how do we account for $200 million.
Neel Dev: Yes. On the -- I think your other question was CAF II to RDOF. Obviously, CAF II is roughly $500 million. RDOF is about $26 million a year, but just keep in mind, significant part of that will move with the divested assets, so it’s not going to be that material going forward. In terms of the equipment reimbursement, we are still working through the details on that. So there’s -- that’s probably too premature to comment on that.
Batya Levi: Got it. Just one quick follow-up on the investments. I appreciate the CapEx part, but in terms of the OpEx part that could hit this year, is there any way you could provide some color around that?
Neel Dev: Yes. So -- but that’s all incorporated into our EBITDA guidance. And I think it will be -- start to step to ramp a little bit, but not going to be materially different quarter-over-quarter, maybe a little higher in the second half of the year. But the whole reason we are making those investments, like Jeff mentioned, is improved revenue and EBITDA trajectory in the outer years and we are confident of that.
Batya Levi: Okay. Thank you. 
Jeff Storey: Thanks, Batya. France, next question please.
Operator: Thank you. Our next question is from Nick Del Deo with MoffettNathanson. Please go ahead.
Nick Del Deo: Hi. Thanks for taking my questions. One for Jeff and one for Neel. Jeff, on the supply chain, you said it’s an issue but you didn’t want to overstate it. I guess as we think about your $1.5 million to $2 million passings target in the coming years, is that predicated on the supply chain situation improving? Or is that achievable if things stay stressed? And I guess, more generally, what’s your outlook on the supply chain? And then for Neel, I was wondering if you could help us better understand what relatively means in the context of staying relatively leverage-neutral? Are you talking about a quarter turn, a half turn? What sort of balance should we think about?
Jeff Storey: Yes. So let me take the first one, Nick. On supply chain, most of my general attitude towards supply chain, we are monitoring closely and we have vendors on the enterprise side and vendors on the consumer side, the Mass Markets side and vendors on the Fiber side, where we are continuing to work closely with them and put in mitigation plans in the event that that they are unable to deliver for us. But we see it on all fronts of the business. Again, I don’t want to -- by focusing on this, I don’t want to overstate the issue, but it’s something that we are really paying attention to and working with vendors. Months ago, we put in full year orders, nine-month orders for our vendors and making sure that we were in the queue early and often to ensure that we got equipment and that we get the resources that we need. We are starting to see some companies hold off on taking new orders. And as we see that, then we are working to put in our mitigation plans to make sure it’s factored into our build plan. But it is an issue that I will highlight as a real one that we have to mitigate. Neel?
Neel Dev: On the leverage, Nick, if you look at 2020, we were at about roughly around 3.6, 2021, we exited about 3.6 And we played down about $6 billion of debt since we announced our deleveraging plans, $7 billion since we -- since the close of the Level 3 transaction. The key point is I think we have been pretty good about calibrating our leverage to the business profile. So even though we are divesting a fair amount of legacy revenues, we haven’t really levered up. If you think about Quantum Fiber, that’s going to be a high-growth business and infrastructure business. So you always have to think about de-averaging our leverage and think about whether that’s appropriate going forward. Our view right now is the 3.6 is probably a good assumption. Now we have said that it will be roughly in that zip code. So any quarter-over-quarter, you might see some fluctuations. But until the business profile changes significantly, we don’t see the need to change that at this point. And like Jeff has mentioned several times is we are going through an investment cycle and it truly is a discrete project. It is upgrading our copper network to fiber and it’s a long-lived asset. And so as we do that, we are okay with the leverage fluctuating a little bit as we fund that build.
Nick Del Deo: Okay. Thank you, guys
Jeff Storey: Thanks, Nick. Next question for us.
Operator: Our next question is from Greg Williams with Cowen. Please go ahead. 
Greg Williams: Great. Thanks for taking my questions. First one is just on rising rates. I mean, you have a couple of commitments here, the Fiber to the Home builds and staying leverage-neutral through the build and the dividend. How should we think about your priorities if it’s changing your capital allocation and your balance sheet amid escalating rate environment? Second question is just on the penetration goals for your Fiber to the Home as you are up 29%, and you noted nascent markets and unlimited marketing. So as you ramp-up that marketing engine, what are your longer-term penetration targets or terminal penetration targets as we just think about your revenue inflection and free cash flow growth in the outer years? Thanks.
Jeff Storey: Okay. So rising rates, Neel, I will let you take penetration. I will take -- and I am sorry, Greg, the third one was?
Greg Williams: Just the penetration as I think about the revenue inflection and your outer year free cash flow.
Jeff Storey: Okay. Well, first of all, we are always focused on free cash flow. We think that is the primary driver of business success. And free cash flow is -- sustainable long-term free cash flow growth is what we are after. That’s why we are investing today. That’s why we divested or divesting the properties that we are divesting because we weren’t willing to invest to the level that we think they can tolerate. But it’s why we are investing in the 16 retained states. It’s why we are investing growth initiatives on the Enterprise side. It’s why we have invested in our relationship with the federal government. That’s why we are investing is to drive long-term sustainable free cash flow. Penetration for Quantum Fiber, we are at 29% but that’s always going to be a blended average of new homes, new business locations for Mass Markets that we have just added with ones that we have been marketing at for a while. But we expect when we reach steady state, it will be north of 40% and every indicator is they are supporting it. If you look at the quality of the product that we have, we have a very effective competitive product and even with the limited marketing, we are doubling our penetration rates in our traditional copper areas. And the symmetrical nature of our product is far better for work-from-anywhere environment. And the capacity needs continue to expand for consumers just like they are for businesses and business customers. With the abundance of streaming providers, the bundling of video is becoming less relevant. And so we see lots of factors in addition to our all-digital world-class experience that we are offering to customers, our great NPS scores, we see a lot of factors that give us high confidence in the 40%-plus numbers. Neel, on the rising rates?
Neel Dev: Yes. So a couple of points. One, about 80% of our debt is fixed. If you combine that with the fact that we refinanced about $20-plus billion in the last three years and the fact that we are going to be paying down a significant amount of debt, and you look at our maturity profile, we have very minimal needs in terms of tapping the market. So I think we are very well-positioned in terms of our balance sheet for -- to negotiate in a rising rate environment.
Greg Williams: Great. Thank you. 
Jeff Storey: Operator, next question?
Operator: Our next question is from Frank Louthan with Raymond James. Please go ahead.
Frank Louthan: Great. Thank you. I wanted to ask about the longer term topline growth and I want to take Quantum Fiber out of it. You have set some aggressive goals there. That’s a great opportunity. I am sure you will be able to show the growth. But post these deals, you can have close to 80% of your revenue from the enterprise side, which has struggled for many years to show topline growth for a 12-month period. or what are you going to be doing differently over the next two to three years to hit the overall topline growth goal that will really effect meaningful change in that business?
Jeff Storey: Well, all the things that I have talked about today and some before, edge computing, 97% -- 95%, 97% of US enterprises are within 5 milliseconds of our network. That makes machine-to-machine control possible for our customers. But that makes AI applications and machine learning applications a real possibility for our customers as they enter into the 4th Industrial Revolution and their ability to acquire, analyze and act on their data. It’s things like SASE. We will continue to move SASE as secure access service. It’s software-defined networking at the customer premise for connectivity and security capabilities. It’s things like Dynamic Connections, which is really network-as-a-service. That’s more of an enabling technology, but it enables our customers to use their network that they buy from us to connect to cloud -- a variety of cloud service providers. It’s orchestration of those capabilities and making it easier and more manageable for customers to maintain their connectivity and in a very complex environment, and it’s helping them do that with our IT solutions capabilities. So it’s kind of a host of things that we are launching and really showing success in.
Frank Louthan: So that network proximity has been the case for a while, but are -- so are you saying there are new sales people you are hiring or a significant number of new products that you are bringing to market that are -- you are ahead of your competitors? I mean, again, what’s sort of different about this opportunity with these new products that’s going to change versus the last several years?
Jeff Storey: Well, so all of the above, but the fundamental nature of the products are different. There’s nobody else out there. You said network proximity has been there for a while. It’s been there for a while for us, but there’s nobody else out there that has the network proximity of edge computing facilities within a couple of -- a few milliseconds of the customers. And so those are different capabilities. There’s nobody out there that’s really been able to provide network as a service or integrate security into access solutions. And so we will continue to focus on that. And I’d argue there’s nobody better in helping people build and manage networks and orchestrate their connectivity needs than Lumen. And so we will continue to differentiate. I’d also throw in the all-digital experience. Our Lumen platform brings the world’s best partners to our customers for different types of applications, whether it’s for wireless or VMware for virtual machines, we have partnered. And I always feel bad when I start listing partners ad hoc because we got some great ones and I don’t want to leave anybody out. But I am not going to go through an exhausted list. But we got great partners bringing those capabilities. And so I think it’s the total package of solutions. And I don’t think you are right in thinking that there are other people out there that have all those capabilities.
Neel Dev: Thanks, Frank,
Frank Louthan: Thank you very much.
Jeff Storey: France, we have time for just one more.
Operator: Very good. And then our last question will be from the line of Tim Horan with Oppenheimer. Please go ahead.
Tim Horan: Thanks, guys. The edge compute product, can you talk about maybe some new use cases? Because I guess a lot of what were predicated on the growth areas for kind of new use cases and uniqueness of the infrastructure. Any color on what you are seeing out there, that would be great?.
Jeff Storey: Yes. We are seeing a lot of different use cases. First of all, storage. Edge computing and storage capabilities are very important. They want to store their data. Our customers want to store their data close to their in-house compute resources, but they don’t want to have to store it within their own facilities. They want the benefit of the cloud and the proximity of their own data center. And that’s what our edge does. We see retail customers that are exploring how can they take all their video feeds, all their camera feeds from their store and process those for watching for shoplifting or looking at shelf restocking? How can they take all of that information and utilize it? Now they don’t want to haul that traffic thousands of miles to some remote compute resource. They want to -- they also don’t want to build a data center in every one of their stores. So they come to us and looking for us to help them build compute resources to take an entire market, aggregate it within very slow -- very quick connectivity and very short hauling across the country and so forth. And so those are some of the use cases. If you think about the fourth Industrial Revolution, and I already said this, that the amount of data is exploding. I mean, it’s just exploding. And the applications to use that data is exploding. And our customers want to acquire that data. They want to analyze that data and they want to be able to act on that data quickly and effectively. And that’s what our edge compute applications are all about, is helping them do that. So we are starting with bare metal. We have moved into storage solutions. We will continue to augment with the virtual machines and all sorts of other edge computing capabilities. We will layer on top of that orchestration so that our customers can manage the hybrid cloud environment that they have and really be effective in managing their IT environment, be really agile in their response to IT changes. Hope that helps.
Tim Horan: Thank you. On the fiber side, 12 million homes. What percentage of your homes will that be? And does the infrastructure bill enable you maybe to expand that or help get subsidies here for that 12 million homes?
Neel Dev: Yes, Tim, too early on the infrastructure bill. But the $12 million, I think, it’s about $21 million we have post the transaction. The 12 million gets to kind of the large urban areas. But that doesn’t mean that’s the total opportunity. As we continue to build out, we will continue evaluate the footprint and we also look at different technology solutions to kind of reduce the build cost. And so we will continue to evaluate that aspect of it as well.
Tim Horan: Thank you.
Jeff Storey: So let me wrap-up. I hope that you all, on the call today, get a sense of the excitement that we have here at Lumen. We are poised for growth and expect our investments in the business to not only give strong growth in revenue and earnings but also deliver value creation for our stakeholders. So we are excited about what we are doing. We see progress in our results. And we appreciate all of your interest in Lumen. With that, I will end the call, so thank you all for joining today.
Operator: We would like to thank everyone for your participation and for using the Lumen conferencing service today. This does conclude the conference call. We ask that you please disconnect your lines. Have a great day, everyone.